Lars Halvorsen: Thank you, operator. Welcome, everyone, to the Third Quarter 2020 Earnings Conference Call for 2020 Bulkers. As usual, I'm joined here today by our CFO, Vidar Hasund. Before we start the presentation, I would like to remind me that we will be discussing matters that are forward-looking in nature. These forward-looking assumptions are based on the company's current views with regards to future events, and they are subject to risks and assumptions that are subject to uncertainties. Actual results may differ materially. And with that, I'll move over to the highlights for the quarter. 2020 Bulkers generated a net profit of $4.8 million in Q3. We are pleased to deliver our fifth consecutive profitable quarter, having been profitable every quarter following the delivery of our first vessel in Q3 last year. We continue to outperform the Capesize Index during Q3 and achieved average time charter equivalent earnings of $22,100 per day. This compares to the Baltic Capesize Index, which was approximately $20,700 per day in the quarter. During the quarter, we also resumed our monthly dividends. We announced total distributions of $0.10 per share for the month of July to September, with September dividend being $0.06 per share. Taking a look at our progress so far in the fourth quarter, we're happy to announce a cash distribution of $0.07 today for the month of October. So far this quarter, we have earned approximately $21,700 per day on average across the fleet. Lastly, on November 2, we transferred our shares from the Oslo Axess list to the Oslo Stock Exchange main list. And with that, I'll leave it over to Vidar.
Vidar Hasund: Thank you, Magnus. 2020 Bulkers reports a profit of $4.8 million for the third quarter of 2020. Operating profit for the quarter was $7.7 million, and EBITDA was $10.6 million. Earnings per share to shareholders was $0.22. Revenues were $15.7 million, and the average time charter equivalent rate was $22,100 per day gross. Vessel operating expenses were $3.9 million, including approximately $0.3 million in COVID-19-related expenses. Vessel operational days were 736 days and marks the first full quarter with all 8 vessels in operation. G&A for the third quarter were $0.9 million, and included $0.1 million in noncash share option expense and $0.1 million in costs incurred for the transfer from Oslo Axess to Oslo Børs. Net financial expense for the third quarter was $2.9 million and include interest expense of $2.8 million. Shareholders' equity was $141.6 million as of September 30. Interest-bearing debt decreased from $257.6 million to $253.8 million, reflecting scheduled repayments during the third quarter. Cash flow from operations was $7.3 million in the third quarter. Cash and cash equivalents were $19.4 million at the end of the quarter. On the next slide, we have included key financial numbers showing that 2020 Bulkers have been profitable every quarter from delivery of the first vessel in Q3 2019. The last of the 8 Newcastlemax newbuildings were delivered in June 2020. That completes the financial section. And now back to you, Magnus.
Lars Halvorsen: Thank you, Vidar. As you can see from this slide, we continued to outperform the Capesize Spot Index this quarter with earnings of $21,100 per day compared to the Baltic Capesize Index of $20,700. If you take a look further back, you'll see that we've outperformed the Capesize Index 13 out of the 15 months since delivery of our first vessel. This, we believe, is both a function of the premium our vessels are earning as well as our history of adding fixed charter coverage in uncertain times to mitigate risk. Looking at our current chartering situation, all our vessels are on charter to strong counterparties. We currently have 7 out of 8 ships exposed to the spot market for the first quarter, but we may choose to add some additional charter coverage in the coming months. Wanted to do a review of our cash breakeven levels. When this company was founded, we were very focused on protecting the downside through maintaining a low cash breakeven. We could budget a cash breakeven of around $14,400 per day for 2021. This does take into account somewhat higher than normal operating costs related to COVID-19 and crude changes. If you take into account the premium that our vessels are earning compared to standard Capesize vessel without a scrubber, we calculate that our spot ships cover their breakeven when Capesize rates are around $10,000 per day. As you can see from the graph on the right-hand side, the Capesize 1-year time charter rate has been above that level the vast majority of the time in the last 20 years. Then over to cash distributions. As we're now done with our CapEx program, we're very focused on returning cash to shareholders. We reinstated dividends following the delivery of our last vessel in June. And during the third quarter, we announced a total of $0.10 per share in capital repayment to shareholders. As mentioned earlier today, we have declared a cash distribution of $0.07 per share based on our earnings in the month of October. As you can see on the graph on the right-hand side, which shows our theoretical free cash flow available for distribution to shareholders at various rates, it's worth mentioning that the average rate for the last 5 years for a standard Capesize is $14,000 per day. In the last 20 years, it's $32,000 per day. This would translate, based on today's chartering situation for 2021 and prevailing fuel prices, a dividend potential of NOK 7 or NOK 33 per share, respectively. Now we'll take a look at some of the key market drivers we're seeing in our market. China is still the key demand driver in the iron ore market, representing around 70% to 75% of seaborne iron ore imports. After a short setback during the COVID-19 outbreak, Chinese steel production has recovered to record levels, with year-to-date production levels of 11.9% year-on-year. This, in turn, has led to a surge in iron ore imports into China, with year-to-day imports up 11% and October being 15% higher than October last year. In the light of this, we're encouraged to see that iron ore inventories are still relatively low, and we believe there is still need for further restocking. Now taking a closer look at how global steel production has developed post-COVID. You can see that global steel production is already back to pre-COVID levels. This represents a recovery that's been much stronger than what we saw following the global financial crisis. This has so far been driven mostly by China, but we see that the rest of the world is showing improvements month-by-month as well. Over to take a look at Brazil. As you can see on this slide, there's been a strong recovery in Vale's iron ore production and in turn Brazilian iron ore exports throughout the year. This is of key importance to the Capesize market as 1 ton of iron ore exported from Brazil requires almost 3x the shipping capacity of 1 ton exported from Australia. For this reason, there's been a very strong correlation historically between Vale's exports and Capesize rates historically. Based on AIS data, we believe that Vale is on track for approximately 87 million tons of production for the fourth quarter. This would imply full year production figures, which is somewhat lower than the 96 million tons they would need to meet the low end of their full year guidance for the year. Should Vale, however, deliver in line with our guidance, we could expect an uptick in exports for the balance of the year, and this, in turn, could lead to a renewed strengthening of the Capesize market. Lastly, we wanted to have a look at the supply side, where the dry bulk order book is around the lowest level seen in 3 decades. The current order book stands at 3 -- 6.3% of the existing fleet. This is the lowest level seen for as long as Clarksons has data, which is back to 1996. Ordering activity year-to-date for Capesize and larger vessels has been virtually nonexistent. In fact, it hasn't been lower in the last 20 years. We expect new ordering to remain subdued due to less financing available from traditional lenders as well as technological uncertainties about future propulsion systems in the lights of the long-term decarbonization goals for the shipping industry. Scrapping has also remained healthy even as the market recovered, and we're on track for the high scrapping levels seen in the Capesize market in several years. And with that, that concludes our market section, and I will move over to the operator for questions. Operator?
Operator: [Operator Instructions] There are no questions at this time.
Unknown Executive: Okay. Operator, then I think we'll thank on behalf of the company, the people who dialed in. And if you come up with any questions later, please feel free to reach out. Thank you so much for participating.